Operator: Thank you for standing by. And welcome to the Welbilt, Inc. 2021 Q2 Earnings Call. [Operator Instructions.] I would now like to hand the conference over to your speaker today, Richard Sheffer. Please go ahead.
Richard Sheffer: Good morning and welcome to Welbilt's 2021 second quarter earnings call and webcast. Joining me on the call today is Bill Johnson, our President and Chief Executive Officer; and Marty Agard, our Chief Financial Officer. Before we begin our discussion, please refer to our Safe Harbor statement on Slide 2 of the presentation slides and in our earnings release both of which can be found in the Investor Relations section of our website, www.welbilt.com. Any statements in this call regarding our business that are not historical facts are forward-looking statements and our future results could differ materially from any expressed or implied projections or forward-looking statements made today. Our actual results may be affected by many important factors including risks and uncertainties identified in our press release and in our SEC filings. We do not undertake any obligation to publicly update or revise any forward-looking statement, whether as a result of new information, future events or other circumstances. Today's presentation and discussion will include both GAAP and non-GAAP measures. Please refer to our earnings release for our non-GAAP reconciliations and other important information regarding the use of non-GAAP financial measures. Please note that we will only be providing prepared comments on today's call, we will not be conducting a question-and-answer session. Now, I would like to turn the call over to Bill.
Bill Johnson: Thanks, Rich and good morning. I will start by simply saying I am excited about the pending Ali Group transaction and beyond that won't address it today as we continue to run our businesses independently. Beginning on Slide 3 of our presentation, our net sales increased 92% year-over-year the second quarter with organic net sales increasing 85.8%. We had now lapped the most disruptive quarter during the pandemic. While it's exciting to be talking to you about growth, it's important to note that our sales are still behind the pre-pandemic levels of 2019.  The sales growing year-over-year, we delivered an adjusted operating EBITDA margin of 18.6% which is 900 basis point increase from last year second quarter. Adjusted diluted net earnings per share was $0.22 compared to the last $0.07 in last year's second quarter. And with the increased margin and earnings per share, our second quarter free cash flow is $31.9 million making us free cash flow positive year-to-date. On Slide 4, sales in Americas increased 87.4% in the quarter than the prior year with organic net sales increasing 85.3%. Volumes are recovering in the Americas but aren’t back to pre-pandemic levels yet when we compare 2021 to 2019. Americas are also benefitting more from a strong pricing environment than either EMEA or APAC. Sales to QSRs increased year-over-year in the second quarter driven primarily by an increase in non-repeating large chain rollout sales. We saw rollouts across our ovens, grills and hot holding cabinets with multiple chain operators. The general market sales to dealers and buying groups increased in the quarter across most of our brands. Finally, KitchenCare aftermarket sales increased again this quarter as more professional kitchens are open and equipment utilization is increasing driving demand for service. Looking at EMEA on Slide 5. Sales increased 134.1% with organic net sales were up at 110.9%. In total dollars, EMEA surpassed 2019 but that was the dollars in a large part due to the significant foreign currency tailwind. Actual volumes still has to improve more before the region has fully recovered. However, we are pleased to see EMEA take a step forward with reopening many more professional kitchens this quarter. Large chains sales increased in the region as these operators are beginning to invest and they execute their expansion plans. General market grew as local dine-out restrictions ease allowing more restaurants to reopen, which spurred new equipment sales with these operators. The easing of these restrictions also helped drive KitchenCare aftermarket sales growth during the quarter. On Slide 6, sales in APAC increased 64.6% with organic net sales up 57.9%. Sales growth was led by China and Australia again this quarter as those countries were fully recovered from the pandemic. More encouraging was that Southeast Asia returned to growth in the quarter with only one country Thailand still down year-over-year. While improved, Southeast Asia remains weaker than the rest of the region and is continuing to dampen our overall growth in APAC. Moving to Slide 7, progress we've made on our transformation program, once again positively impacted our results this quarter. We delivered a little over $3 million of in-period savings in the second quarter all from productivity improvement which is a $13 million run rate. Absent material cost inflation, we would have delivered in-period savings of approximately $7.5 million and increased our run rate to approximately $30 million; so we can still see the program’s progress. Looking at various initiatives, our procurement team has implemented many new agreements with current and new suppliers has continued to work on implementing their remaining opportunities presented by RFQ responses, most of which are now going through the product qualification and testing process. We continue to see savings from our procurement activities ramp-up in the quarter, but when netted against commodity inflation we ended up with material cost headwind in the quarter. We're continuing to develop our own site led value analysis, value engineering or VAVE initiatives. The RFQ process didn’t provide the right solution for our businesses. These VAVE initiatives have identified additional savings opportunities to supplement the RFQ process. Due to the ongoing supply chain disruption that we have been experiencing in the last couple of quarters, we’ve had to re-balance some of our resources from this procurement initiatives by helping it search for new suppliers for critical components. In some cases, suppliers find sources put them on it, they need to manufacture their parts for us. Shift at resources combined with inflationary pressures are extending the timeline for us to achieve the original savings target. We remain confident that we will complete our procurement activities and deliver these savings. We see these inflationary pressures begin to abate and they are mainly committed to offsetting these pressures. The savings we're not generating into the price increases that we implemented earlier this year and we'll implement all over again for 2021. We'll continue to make progress at the 7 North American manufacturing plants that are currently part of the transformation program and has seen productivity gains emerge not only these sites but in most of our sites globally as we are deploying our lessons learned broadly to accelerate improvements. Some of these productivity gains have been substantial despite dealing with lower volumes and inconsistent production shifts that work against us in some facilities. These productivity gains have led to leaner operations and a smaller workforce. While recent volume improvements have resulted in the rehiring of some production staff, we anticipate remaining below par headcount levels as we continue to increase our productivity levels. We've taken delivery and installed some new fabrication equipment even though since will contribute more as they are fully integrated. We are working on two additional plant consolidations currently. One is in Shreveport, Louisiana, where we have had two plants to support our Frymaster and Merco businesses. We are in the process of consolidating one of those plants into the other one that are delayed the final closing into next year so we can meet their current high demand. We have also initiated the consolidation of our manufacturing plant in the EMEA region, we expect to complete this by the end of 2021. The current supply chain challenges and rebalancing our resources, we now expect to complete all the planned execution actions that will drive the transformation savings in 2022. Incremental spending on the program has largely concluded and we now expect the total transformation program expenses to be less than $75 million. Since we've already incurred $71 million of these costs, there should only be small additional costs over the balance of the program. Now I will turn the call over to Marty.
Marty Agard: Thanks, Bill and good morning everyone. I'm going to start with Slide 8 and the discussion of our adjusted operating EBITDA margin results. The broad theme here is we are pleased to see our executional progress being able to widely cover the gradually fading pandemic related volume headwind and more recent commodity and logistics inflationary headwinds. At 18.6% EBITDA margin, we are 900 basis points ahead of Q2 last year and 290 basis points ahead sequentially of this year's first quarter. This progress is not just the procurement or productivity elements of our transformation program, although will certainly contribute, but broadly our execution on pricing, warranty improvement, SG&A reductions and more. So we recognize that we're not where we want to be yet to relay resolute and provide an additional margin improvement. So working from Slide 8 specifically, volume which we measure at the gross profit level and it’s netted against the impact of net pricing, drove an increase of 1200 basis points in the second quarter. This reflects the 86% increase in organic sales versus prior year, enhanced by positive net pricing as we had a partial quarter benefit from the general market and this price increase that went into effect at the end of the first quarter along with the KitchenCare aftermarket and regional price increases that went into effect earlier in the first quarter. We implemented additional price increases later in the second quarter in our food brands and more already in the third quarter on additional brands as it provide increase in offsets to the inflationary pressures that we see move through the second half of 2021. Material costs including tariffs were 150 basis points more than headwind this quarter compared to the prior year. This is a reflection of the inflationary pressures from rising commodity, which is component and logistics cost we included in the quarter and some delayed impact from the earlier inflation that came off the balance sheet and through the P&L. These inflationary impacts more than offset the savings we delivered from our transformation program and procurement activities. We expect these inflationary headwinds to be present and likely move this into the next few quarters. But despite that, we believe that the positive impact from rising production volumes, our transformation program efforts and our recent price increases will be effective in expanding our margins over the balance of 2021. Other manufacturing expenses, mainly labor, overhead and warranty, were a 340 basis point positive contributor to margin this quarter. The productivity improvements we've made in our plants provided real operating leverage as production volumes improved broadly across our business this quarter. We've worked to minimize the headcount brought back into our plants and are holding on to the productivity gains we have made. We're expanding the transformation program related to labor strategies across our plants in 2021, expect volume and supply chain headwinds to ease over time, still expect gains from recent and pending equipment upgrades, and we are executing the two facility consolidations Bill mentioned. The organization is focused on clear initiatives toward our margin goal, and we are encouraged by the organization's continued interest. SG&A on an adjusted basis was a 530 basis point headwind this quarter. Like our actions within the manufacturing footprint over a year ago, we also took aggressive action to contain SG&A spending as the pandemic impacts emerged in March 2020  Many of those actions are continuing to contribute as SG&A categories were flat and will increase well below the growth rate we had in sales this quarter. The primary drivers of the higher SG&A costs this quarter were compensation expense and commissions, reflecting both the higher incentives being earned this year and the non-recurrence of some of the measures taken in last year's second quarter in response to the impact from the pandemic. As a reminder, if you're reading the face of the income statement, SG&A includes the transformation program investments and transaction costs that are excluded from our adjusted operating EBITDA. You can track the specifics through the non-GAAP reconciliation schedules in our earnings release. Finally, the weaker dollar provided a larger-than-normal benefit to our margin this quarter. Moving to slide nine. Free cash flow was a positive $32 million source of cash in the quarter. As a reminder, our free cash flow is seasonal with the fourth quarter impacted by our paying customer rebates and annual incentive compensation, building an inventory and just seasonally lower volumes. Our performance in this year's second quarter brings us to positive free cash flow generation year-to-date and marks the first time in several years that we have been year-to-date free cash flow positive in the first half. With that I'll turn the call back over to Bill for his closing remarks.
Bill Johnson: This concludes today's 2021 second quarter earnings call. Thanks again for joining. Thanks, have a great day.
Operator: This concludes today's conference call. Thank you for participating, you may now disconnect.